Operator: 
Barry R. Sloane: Thank you, operator, and welcome participants to our Q3 2025 financial results conference call. I'm Barry Sloane, President, Founder and CEO of NewtekOne and Newtek Bank National Association. Joining me on today's call is Frank DeMaria, Chief Financial Officer of NewtekOne, the publicly traded holding company, stock symbol NEWT on the NASDAQ; and Scott Price, our Chief Financial Officer of Newtek Bank National Association. We certainly appreciate everybody attending the call today and the investment that you've made in analyzing and evaluating Newtek as an investment opportunity. We'd like everybody to try to focus today, in addition to the great financial numbers that we put out, really look at the investment in NewtekOne from a business perspective; how we raise deposits, how we make loans, how we're able to do this with low expense ratios in the marketplace and really create what we believe is a business model for the future for a technology-enabled bank. Once again, focusing on technology and efficiency in a market that we clearly see is rapidly changing. Obviously, the focus on credit quality is important. I think we'll be able to demonstrate that; our credits have stabilized, both within the bank and at the holding company through the NSBF results. We have a slide to demonstrate that. And we're also going to be able to focus on raising deposits below the risk-free rate, which we also think there'll be future benefits based upon how we have ourselves situated in the Newtek Advantage by performing payroll for our customers, merchant services for our customers connected with a bank account, which we actually think is rare and unique in the marketplace today. In addition to that, as you could see from the press release, we just put out; we have some outstanding numbers for return on average assets, return on tangible common equity, efficiency ratio. And also, we're excited about approaching our 3-year anniversary as a bank holding company owning a nationally chartered bank, and we're very pleased that we have been able to demonstrate our ability to manage the bank, manage risk and hit all of our strategic goals and objectives, importantly, according to plan. Investors that focus on what we're doing in the marketplace believe we'll be happily rewarded over the course of time. What we do believe is that we really don't compare and contrast well to $300 million to $500 million community banks. I just came from a conference sponsored by the American Bankers Association on small business finance and small business as a targeted marketplace. I met some of my competitors. We're just very different than them in every facet, and we'll try to bring some of that as we go through the call. We'd love for you to ask questions, why can we grow deposits below the risk-free rate without traditional bankers and branches? Why are NPLs higher? Important to note, they're higher, but we're still profitable. And also, why are these 3 things that we do very well going to continue such as raising deposits below the risk-free rate, being able to do loans with our lending operating system in remote locations as well as the important progress that we've made in our Alternative Loan Program. We'll focus on that today. For those people following along, please go to newtekone.com, go to the Investor Relations section, where you can find the PowerPoint presentation. Please go to Slide #2 and note the statement regarding forward-looking statements, make sure that gets absorbed. Now go to Slide #3. Important always to reemphasize the mission of the company because at the end of the day, it always gets down to the customer. If you do a good job for the customer and there's good margin in your business, you're going to do well for all your stakeholders. Our mission has not changed since the company was formed in 1998, which is providing business and financial solutions to independent business owners all across the United States. Within this mission and recently acquiring a bank and being a bank holding company, we've opened up 22,000 depository accounts in our window of time, and we have 10,000 borrowers in our database that we've been able to do remotely without traditional bankers, brokers, BDOs or branches. We do payroll for 20,000 employees, and we're processing electronic payments for over $5 billion on an annualized basis. On Slide #4, once again, focusing on who we are and our mission statement, take a look at Newtek being a technology-oriented financial holding company. We look at that particular organization as we are now also a depository. That's important to note. We do not want to be compared as a community bank that's traditional. We don't look like one. We don't compare like one. And what we really do well, acquire customers cost effectively, service their needs with great margin and make loans on a risk-adjusted basis. We manage credit risk. We don't avoid it. So, if you look at our financial statements, we typically have higher reserves. We also have higher nonaccruals. But on a net basis, after that expense, we're still extraordinarily profitable. So, in January of 2023, Newtek acquired what is now known as Newtek Bank National Association to add depository solutions. We use proprietary and patented advanced technological solutions to acquire customers cost effectively. We receive about 600 business referrals that are unique a day. And we have a full menu of best-in-class on-demand solutions because our customers, they want you on demand. A typical entrepreneur and business owner doesn't necessarily want you from 9 to 5, Monday to Friday. They want you on Saturday. They want you on Sunday, they want you in the evening. We service this independent business owner clientele, which is extremely important. When you go to Slide #5 and focusing on this target market of independent business owners, SMEs, SMBs, small and medium-sized enterprises, small- and medium-sized businesses, there's more than 36 million business owners in the U.S. according to the SBA. According to U.S. Chamber of Commerce, it represents 43% of U.S. GDP. And according to the Small Business Administration's website, through the last 5 years, we have been able to support or stabilize over 110,000 jobs, which is the second highest amount of jobs supported by all the lenders in the SBA 7(a) program. We think this market is important. We think it is valuable. We do know that the top 4 banks and many other financial institutions based upon what I saw at these recent conferences are trying to figure out how to bank this particular customer base, and they have to go beyond just getting their deposits, which they typically take in, in a noninterest-bearing fashion. We do that for this customer base, and we believe we're being rewarded for that. Slide #6 talks about those nuts and bolts that we all like to focus on. So, we take our slide rulers out and our compasses and our protractors and look at all these nice numbers that we've got. So, we have a very healthy Q3 and 2025 earnings and revenue growth. When you look at Q3 basic and diluted, $0.68 and $0.67 over the course of the first 9 months of the year, it's $1.57 and $1.54. The growth rates are up 47% comparatively and 22% when you look at that year-over-year comparison with revenue growth of 19% to 16%, respectively. Important trends in book value, $11.72. Mind you, we started off in Q1 of 2023 with tangible book value of $6.92 per share, and that's grown to $11.22. So tremendous growth in tangible book, all the while we paid a very healthy dividend to our shareholders, currently $0.19 a quarter or $0.76 for the year. We've also experienced continued success in growing core deposits. Business deposits sequentially over the quarter of $52 million or 17%. Consumer deposits climbed $95 million or 12%. We're growing deposits without the use of branches, bankers, brokers or BDOs. Next bullet talks about a very important category, which we refer to as our Newtek it's Newtek Alternative Loan Program. In our Alternative Loan Program, we finance that through securitizations. We use securitizations to be able to better asset liability match these longer-term duration-based assets. We are currently expecting an ALP securitization in the fourth quarter of 2025 that will be our largest to date. The range here of $325 million to $350 million of ALP loans will clearly be our biggest. This will be the 17th securitization in NewtekOne's history and fourth in this particular category. We're excited about it. We look forward to bringing it and should be a very profitable endeavor for all of our shareholders. Capital position bolstered and capital structure simplified. In the recent quarter, we were very pleased with the capital that we raised. We issued Series B preferred and common equity. We boosted Tier 1 capital and common equity Tier 1 by roughly $80 million and $30 million, respectively. We're very pleased that we're able to boost our capital ratios to support the growth rates that we're doing on a safe and sound basis. Regarding operating leverage, our efficiency ratio declined from 61.8% to 56.3% at the holding company, even with assets up 43%, but operating expenses only up 8.5%. Our return on average assets for the quarter was 3.15% and continue to trend well ahead of the industry. Payments, payroll, insurance, they're additive to earnings, a good value proposition. We'll talk about that within the confines of the presentation today. But also importantly, they're very additive to our deposit gathering function, and they bring tremendous value to our business customers. If you're doing business with ADP, for example, you're not really connected to an ADP bank account because they're not a bank. If you're doing payments through Worldpay or Fiserv, you're not really connected to a bank. With us, we give you one solution, fully integrated with a dashboard called the Newtek Advantage that gives you transactional capability, analytics and data to be able to manage your transactions. So, one other important item for Q3 financial highlights in NSBF, that is our nonbank lender that is in a wind-down mode. This is left over from when we were a BDC. This is held up at the holding company. The loss in this business because it is not originating, it's in a wind-down mode, keeps going smaller and smaller, and we've got a slide to accentuate that. So we had a $14 million loss for the first 3 quarters of 2025. In 2024, the full year's loss was $28.7 million. So, we're probably trending to an $18 million to $20 million type loss. That is going to continue to decline over time, and we have a slide to focus on that. On Slide #7, we can focus on the Q3 2025 financial highlights. We talked about return on assets, return on equity, return on tangible common equity, efficiency ratio, all very, very strong, particularly compared to industry standards. I would like to point out that our NPL to total loans at 8.1%, which is fairly high compared to a community bank or the banks that you typically look at. But I think it's important to note, this has already been written off or written down. So, the important part to notice is as we're building new portfolios, these numbers are stabilizing, and we believe our data will show that. When you adjust for the NPLs, it 3.8%, that will be taking out the NSBF portfolio, which was probably underwritten during one of the most difficult times for small business finance. 2021, 2022 and 2023, going through that 0 rate environment with prime was 3%. We know prime went up to 8.5% at some point. Now it's starting to come down. The wind we think is finally at our back. We're experiencing lower provisions, and we believe this is stabilizing and will be less of a headwind going further. Slide #8, Newtek Bank National Association, the financial highlights. Please go to the last column, Q3 2025. ROAA, 3.57% return on tangible common equity, 32% efficiency ratio rounds up to 47%. NIM, 5.4%. I look at the NIM, some of the top 4 banks, just dwarfs that. This is that reoccurring benefit that you're going to get as we begin to build a bigger and bigger portfolio at the bank. Needless to say, at the bank, we're dealing with CECL, which is negatively biasing us currently because you have that big charge upfront and you don't get that high coupon from this particular portfolio until over time. So, I think that due to the negative type of accounting machinations for CECL, this will be more beneficial as time goes on as we begin to use the balance sheet more, particularly with SBA 7(a) lending, keeping some loans on our balance sheet, not selling them all off. That's a strategy that we've seen other people in the space been quite successful with. Look at our quarter-over-quarter loan growth, 9% held for investment, deposits up 11%. I'm reading research reports from other banks our size that we're being compared against. They're growing 2%, 3%, and they're getting rave reviews. I don't know what the problem with us is, but we'll keep doing this, and I'm sure we'll get there eventually. Look at our capital ratios very strong, 11%, up to close to 15% on the 3 key leverage ratios. Once again, very important, allowance for credit losses, 5.42%. We have the reserves that will be able to support higher losses and higher charge-offs. Slide #9, tangible book value per share growth. We talked about this earlier, real tremendous increase. All the while we paid a healthy dividend now to our shareholders of $0.76 on an annual basis, $0.19 per quarter. As you can see tangible book value increasing materially from $6.92 to $11.22. Really, we're very proud of growing this tangible book value number. Slide #10, deposits. We talked about the growth in deposits. We're currently at about 3.72% on deposits. We think that number can maybe get down to 2% to 2.5%. That's going to depend upon the merchant business and the payroll business and the insurance agency and the lender helping chip in and embracing clients to give us the depository account all the other things that we do. From a risk standpoint, 78% of our deposits are insured, very valuable with a loan-to-deposit ratio of 95%. Slide #11, the Alternative Loan Program, extremely important to NewtekOne, this business is currently done up at the holding company. It was developed in 2019. Historically, our charge-offs have been below 1%. I believe we had $5.7 million of charge-offs historically, $720 million of total loans originated. Important to understand what this program is about. We have a funnel to lend money to businesses. When the referrals come in, the customer doesn't know what the best loan might be for them. It could be a revolver. It could be a 7(a) loan. It could be a 504 loan, or it could be what we refer to as the Newtek Alternative Loan Program, which has similar characteristics to a 7(a) in that it's got a 10-year or 25-year fully amortizing amount of principal with no balloon, but the credits are much, much stronger. We have guarantors that range from $5 million to $100 million on AOP loans. Our average loan size is about $4 million to $5 million. So great growth opportunity. If you do 200 units of AOP loans, it's $1 billion of loans. So, we do believe there's great growth opportunities here. And as we'll show you in slides going forward, very profitable opportunity. It's important to note that Newtek, unlike these other $300 million to $500 million banks, make loans and sell them or sell them into securitization vehicles. Other banks hold them. One of the reasons why they hold them is they can't replace them. We have a machine that makes loans and sells them. We have a machine that acquires deposits. This machine has been going on for over 2 decades, except on the depository side, obviously, that's somewhat new. But we're showing that we're able to acquire deposits at attractive rates. I think it's extremely important to be able to analyze this Alternative Loan Program business. And as I mentioned, we're about to do our fourth securitization in Q4 2025, the biggest ever. On #12, this will give you an idea of what the metrics are for these types of loans. First of all, high FICO scores. Weighted average LTV and originations, 47%, debt service coverage on average, 3.4x. Weighted average gross coupon 13.17% and we say weighted average spread to the base rate. The base rate is the 5-year treasury. So, these loans are typically fixed or 5 and then they adjust at the margin, they're float at the initial rates, and they can never go down. They also have prepayment penalties of 5% in the first 36 months and then 3% in months 36 to 48. So, these are not prepaid. We want that spread income to be kept over a long period of time. So, we talk about diversification in states, diversification in industry. Let's go to Slide #13. So, we have these securitizations on our books. On Slide 13, the 2022-1 deal, that's been paid off. So, we wound up having all the cash flows behind the bonds repay the bonds. So, the bonds don't exist. The security holders are very happy. They got their money back, and we're able to roll these loans into a new transaction. The 2024-1 was our next deal. That was done with a joint venture partner, similar to 2022-1. So you could take a look at the AOP loans, the weighted average yield, notes and securitization, the spread, the weighted average rate of 6.72%. Now the important part is the gross spread before the servicing fee and after the servicing fee. So we're the servicer. So it's a good servicing stream because of the call protection. The servicing lasts for a long period of time, 496 basis points on 2024-1. On the recent deal was 5.68%. We believe that the spreads we're going to be getting on the next year will be closer to the 5.68%. So you could see once you put the business on and the loans go into the securitization structure, there's no costs. So we're leveraging the infrastructure across the entire business line and putting these loans in. So there's not a transactional cost for deposits. So the cost of funding is greater in a securitization, but it's match funded. So you don't have to worry about interest rate risk. But look at that spread margin. If I was to go to a banker and say you can get 568 basis points of spread, that's after the servicing fee. And there's no cost associated with it. They would say, where do we sign up? Well, good news, we have it. It's our program. We have a track record. We have alliance partners that are getting more and more familiar with the business, and we believe this will be a growth area for the company going forward. Slide #14 gives the status of the 3 completed ALP securitizations. 2022 was gone. 2024 is on the books, 2025-1 on the books. This will give you a feel for the original balances, the notes paid down and whether we did this with a partner or not. By the way, the partners and the joint venture partners in the deal, they invested side-by-side with us from first loss. So we do know where these valuations trade and we mark them appropriately. All this data is in our Qs. It's a 14% yield with a 15% frequency over the life of the pool and a 20% severity that gets you to a 3% historical charge-off. And that's how we've come up with our valuations. Slide #15, Newtek Bank National Association Credit Quality. We think this is an important slide because it will show you that we're, as this portfolio is seasoning because [mind you], we took over the bank, it was $180 million of total assets. Today, I think we're looking at about $1.4 billion of total assets. So we're building a new portfolio. But as you're building a new portfolio, particularly in the types of loans that we do, these aren't car loans. These aren't residential mortgages. I mean, most of the 7(a) loans have these types of characteristics. So you do have a ramp of NPLs and charge-offs, but this is starting to level off. Most importantly, the allowance for credit losses, we believe will adequately cover the NPLs. So we're pleased with the performance. There's no surprises here. This performance is done according to the plan. So for those that were concerned that we're not going to make it, I don't fully understand the marketplace here. We have people rooting for us. We have people rooting against us. Ring against us over the course of 25 years is not a good bet. We're very pleased with the management team, with the relationship we have with the regulatory authorities, with all of our providers and warehousing line securitization investors. We just came back from an ABSE's conference. We had 3, 4 meetings in 2 days. We couldn't be more pleased with how the business itself is performing. Slide #6, the SBA 7(a) loan portfolio, Newtek Bank. The big issue here is there is a concentration in 7(a), particularly with respect to the allowance for credit losses combining for 89% we believe that we're going to begin to layer in more CRE, more C&I into the bank portfolio, and that will level off. And we're very pleased about that initiative, and that is also according to plan. Slide #17, we talked about NSBF. That is the old nonbank SBLC Small Business Lending Corp. licensed nonbank SBA lender. Some of you may not know that when we acquired the bank, we were not able to put these assets into the bank because of the debt. These loans are sitting in securitizations. There are 3 securitizations right now that exist 2021, 2022 and 2023, although the 2021 is callable and we'll look to try to do something with that cleanup call shortly. But this is the legacy nonbank subsidiary that's holding a portfolio in a wind-down mode. Note, the increase in nonaccruals from Q3 2024, this is declining, extremely important. It's still increasing, but it's increasing at a lower rate. The aging of the portfolio, these are seasoned loans. They are less likely to default. The accruing portfolio of $215 million is sitting in securitizations with $140 million of bonds against them. The nonaccruals at fair value, which will be liquidated over the next 12 to 24 months, $64 million that should get turned into cash and be available for a bunch of things, dividends, share buybacks, paying off debt and other things. NSBF equity, $256 million. Notice that the NSBF loans as a percentage of the total balance sheet or the consolidated balance sheet of NewtekOne is shrinking. Just Q3 2024 was 32%, Q3 2025 down to 16%. So this loss is declining materially. Once again, we talked about $28.7 million loss in 2024. It's probably going to come in at $18 million to $20 million for this calendar year. And the performing loans are also paying down. So when they pay down, if they're in securitization, they pay off the debt. When they're outside of securitization, I think we have about $55 million of those, that's canceled it was right to the subsidiary. And we do believe the nonaccrual inflows in the portfolio, they've decelerated for 5 consecutive months. We're pleased about that as well. Slide #18, operating leverage being captured. This is all about the efficiency ratio, declined from 61.8% to 56.3%, and that's at the holdco. At the bank, I think we're at 46% or 47%. We're pleased with that as well. This is all while total assets are growing, revenues are growing, but operating expenses are not growing at as high a rate. Slide #19 talks about the subsidiaries. Our payment processing business, we expect to contribute $16.5 million of pretax income in 2025. And we also are looking for greater contribution from a deposit perspective. We'll have some of that data going into the next quarter. Insurance policies, 10,000 policies in 2025. It's up 34% year-over-year. That's the total cumulative policies, and we expect the insurance agency to contribute about $800,000 of pretax. The payroll business contributing about $600,000 in pretax. Payroll clients, $860, but there's 20,000 employees that we're doing payroll for. And that business is growing nicely. All these 3 things are great complement to a depository, and they should be part of the total treasury management system, which we have through the Newtek Advantage. So we all believe that these business lines should continue to contribute growth in business deposits and bring in sticky, more attractive deposits. One last item, we will be launching a new offering, not a new product, but a new offering, the NewtekOne Triple Play, which will give a customer an unsecured line of credit for up to $10,000 provided they are credit approved and a merchant account or a payroll account. So you get a line of credit, you get a bank account and a merchant and payroll account, all at the same time. NewtekOne’s Triple Play. Last slide, #20. We talked about this, the capital that we raised in this particular, I'd say, recent quarter. And Patriot Financial, we appreciate their investment exchanging $20 million of the Series A convertible and an additional $10 million cash investment for shares. And those shares are locked up for 24 months. Patriot sits on the Board of the bank. They have a pretty good bird's eye view. We really appreciate a sophisticated institutional bank investor having faith in our organization. Second, we issued $50 million of fixed reset noncumulative preferred perpetual stock, $50 million in issuance. And we also refinanced the merchant business, Newtek Merchant Solutions through Goldman Sachs Alternatives, $95 million financing solution. It took out, I believe, it was about a little over $30 million of financing. That gives us plenty of cash capital going into 2026 to be able to pay off our unsecured debt of any WTZs and other obligations in the future. We are very well positioned going into 2026. And with that, operator, I'd like to turn this over to Q&A, where I'll have my CFOs and my hope to answer any questions we might have from investors or analysts.
Operator: [Operator Instructions] Our first question comes from the line of Tim Switzer of KBW.
Timothy Switzer: First one I have is just on credit trends real quick. Could you guys update us on what you're seeing in the market? There's obviously been some disruption in a bit of a credit cycle. And I'm curious, are there any certain areas where you're seeing more pressure in terms of like industry or geographies relative to others?
Barry R. Sloane: Yes. So Tim, I think regarding credit trends, we do believe this is an economy of haves and have-nots. I think that, that's kind of been the case for a while. And I think we've experienced quite a bit of stress and strain and uncertainty in the small business community. With rates spiking up, obviously, we're starting to get that rate relief. We appreciate the drop in rates today as well as the inflation pressures. We are staying away from the volatile businesses and volatile industries where they are commodity-based. Anything that relates to oil and gas, transportation is a difficult category and clearly, agriculture. So, anything that's related to those particular industries, we're staying away from. The consumer side is still pretty strong. As long as we have an equity market and a home real estate market where values are holding or appreciating, we think that spend will continue. And we do believe that our portfolio, primarily driven by the seasoning is flattening out. Mind you, we've been a lender in this space for over 25 years. So, we know it well. We've seen it in high rates, low rates, inflation, deflation. So, we have a pretty good feel for it. We also get a very good sense from our portfolio of customers and payment processing and payroll and things of that nature. So, we have a very good cross-section of credit and see what's working and what's not.
Timothy Switzer: Got it. That's helpful. And then there is no slides on updated guidance this quarter. Are you still confident in the previous guide for $0.65 to $0.80 for Q4?
Barry R. Sloane: Yes, that's a good question, Tim. I would say this. Right now, we have a government shutdown. And if the government gets open within 2 weeks, I wouldn't see any dramatic changes. But then again, I can't bet on that. This is a pretty volatile uncertain. So, we don't have a reason to pull the guidance, but hopefully, people invest in us, not necessarily on what happens in the fourth quarter, but from a standpoint of the business model, looking at book and things of that nature. But just to be totally fair, we can't live by the previous guidance given the basis of the government shutdown.
Timothy Switzer: Yes, that's fair enough. Can you maybe elaborate on, I think you're still able to originate or at least process some loans that have already been approved before the SBA shutdown. Can you maybe explain that and then maybe provide a timeline on what's kind of the deadline on when your originations and ability to sell loans would actually start to be more challenged if the shutdown lasted, say, to like Thanksgiving or something?
Barry R. Sloane: Sure. So given that we've been doing this for a long period of time, beginning of September, you start to cover your portfolio. So you can estimate what's going to be closing throughout the month of October and maybe even in November. Although you can't get a guarantee number, we are still taking in applications. And there is also a provision in the SBA's SOP that allows you to bridge a borrower through a period of time and then roll it into a 7(a) loan. So it's very hard to predict whether this will affect us or not affect us, but we do know the ways to be able to get through these shutdowns; over more than 2 decades, we've experienced this, and we have all the tools, and we currently are providing bridge financing to borrowers to enable to fund them into a bridge that will get taken out with a 7(a) loan.
Timothy Switzer: Okay. I got it. And then the last question I have is, can you provide the Tier 1 and total capital risk-based ratios for the holding company? I don't believe I saw that in the release or Slide 10.
Barry R. Sloane: Frank, could you help with that?
Frank DeMaria: Yes. Currently, Tim, we're looking at about 12.5% on leverage at the holding company and just shy of 16% at the for total risk-based capital.
Operator: Our next question comes from the line of Crispin Love of Piper Sandler.
Crispin Love: Just first, just following up on the shutdown. Barry, did you pull PLP numbers ahead of the shutdown in September for potential SBA 7(a) loans in your pipeline? And if so, kind of what type of volume could you do from those pulls in the fourth quarter?
Barry R. Sloane: I don't have the second number, but we did pull product, and that's pretty much covering loans that we had going forward that probably fund about 45 days from the time we get the PLP number. So I mean, we're probably covered for half the quarter. But I also want to point out, Crispin, that if you look at our mix of loans, it's changing. AOP, we've done more CRE, we've done more C&I. So this is one of these times where I don't really want to predict what Chuck Schumer is going to do or Trump or John Thune or Mike Johnson. So it's, when I say it's a tough time, this is temporary. This too shall pass. It's only a quarter. I know we're all focused on the next quarter, and that's what we do when we look at these things. But this too shall pass. And frankly, it's made of the difficult, a lot of people have dropped out of the 7(a) space. because of the changes in the SBA program. So we're sorry for other people's misfortune, but we've been able to weather these storms over time. We'll be here for many years and many quarters after this one.
Crispin Love: Okay. Great. And then just on the $29 million of loans under the fair value option that revenue line item in the quarter. Can you just discuss some of the key drivers there, what you might expect on a go-forward basis as it can be fairly volatile, especially with the large securitization coming in the fourth quarter?
Barry R. Sloane: Yes. Frank, I believe that's the mix of governments and ALP, but I'll let you answer that question, Frank.
Frank DeMaria: Yes. No, Crispin, you're spot on. We're ramping up for the next securitization. And as you saw on that slide, we're looking at somewhere between $325 million and $350 million in capital. So a lot of that this quarter is related to that. And similar to what you saw last quarter, you will see kind of that, I'll call it, that flip in the fair value line as we close the securitization and pull the residual onto the balance sheet. So you'll see that again, as you alluded to, in the next quarter. But most of that is related to the originations and backing the inventory for the securitization. And then to Barry's point, some additional 7(a) guarantees that we're holding a little bit longer for sale and obviously, with the shutdown, but we plan to continue to sell those once the government reopens.
Crispin Love: Okay. Perfect. And then, yes, just last point on. I just want to make sure I'm thinking about the guidance correctly. So you're not pulling the guidance, but not affirming the prior guidance. Is it really just more of a timing issue, whether that gain on sale revenue hits in 4Q, 1Q or beyond rather than anything more than that?
Barry R. Sloane: I can't comment on it. It's very difficult to forecast. And I really can't comment on it at this time. I mean the one thing I could tell you, the stock price with a 10 or 11 handle, does it really make a difference? You don't have to answer that, but that's my view.
Operator: Our next question comes from the line of Steve Moss of Raymond James.
Stephen Moss: Barry, maybe just, maybe on the SBA program from a higher level or just the business activity. Just kind of curious what's your sense of customer demand or customer confidence? I realize maybe the closure of the SBA makes a little harder to get a read, but just kind of curious how you're feeling about the potential pipeline if, or potential activity within the space you land?
Barry R. Sloane: Steve, I think it's a great question, and it's pointed to this particular market, which right now, as we know, there are lenders that are leaving the space, and it is harder to do loans. I think when I was asked this question last quarter, and there was a discussion about the changes that the agency had made, whether it would affect originations or not, I didn't believe that it would. It has. It's in a tougher market to do loans. One particular area has to do with merchant cash advance and not being able to refinance a merchant cash advance loan. And the second area has to do with anybody in the ownership chain, even if it's 1%, that cannot prove that their U.S. citizen can't get an SBA loan. And I think you'd be surprised at the amount of participants that would apply that can't do it. Now we've also got customers that are coming to us that insist that they're citizens, they have the documented proof, but the database isn't saying that they are. So, you can't make a loan. I will also tell you; we've got people that were approving for financing. And due to the uncertainty in the marketplace and tariffs and things of that nature, they're not taking it. So, I would just say that on a going-forward basis, it's going to be a much harder business to do business. We feel good about it. We feel good about our position in the market from a long-term perspective. But I think that where it was a very effervescent year from October 1, 2024, to September 30, 2025, I think you're going to see some different numbers in this coming government fiscal year from all originators. We finished up last year second to Live Oak Bank from SBA statistics. But I think that whole top 20 is going to shake up quite a bit. We like the business. We've been in it for a long period of time. We think it's a great program and a great product.
Stephen Moss: Okay. Great. Appreciate all that color there. And then the other thing I noticed was you're talking about diversifying the bank balance sheet here, adding more C&I and CRE. Just kind of curious what does that look like in the future, the type of loan you're thinking about adding? Could some of the ALF loans end up on the bank balance sheet? Just any color there would be great.
Barry R. Sloane: Yes. So, Steve, I think that diversification is extremely important. And there's a lot of good opportunities for us in straight C&I line of credit type lending and CRE type lending. One of the things we're going to, I'm going to suggest to my team, I think we're going to look to do an Analyst Day sometime in December or very early in January right after the new year and be able to reforecast out and give the analyst community, investors some better guidance on a going-forward basis. But I think that when you look at total loan originations across ALP, CRE, C&I, line of credit, clearly, where historically, we were very much well known as an SBA 7(a) lender, it's the furthest thing from the truth. And we like the program. We think it's great, but it's going to be part of a diversified approach to really developing that franchise in the SMB marketplace. But I think SBA, we're right now, the uninsured balance sheet is probably 44% to 45%-ish, not including what is going on in NSBF. We would like that to come down a little bit, and we clearly want to grow the Alternative Loan Program business dramatically from where it is today. It's very profitable. credits are bigger, customers are bigger and the returns equal the 7(a) business.
Stephen Moss: Okay. And, And maybe on that point, just where I was going to go to my next question is on the business here. It's clearly a big securitization coming. Is this kind of like what you expect to be the more normal run rate in future securitizations kind of in this $300 million plus range? And maybe do we see more than 2 a year?
Barry R. Sloane: Good question. I'd like to keep it at 2 a year, and the goal would be to get those numbers bigger. This is the first time we've ever done 2 AOP securitizations in the same calendar year. So I'd like to do 2 a year, get the numbers bigger, bigger pools are better. There's more diversification. You get better receptivity from investors. So Yes, I definitely appreciate the question and would like to do bigger deals. It's an average loan size of $4.5 million to $5 million. So not a lot of credits. I mean we'll do 2,500 to 2,700 credits now, just to do another 200 credits. It takes a lot of effort to do $1 million loan, takes about the same amount of effort to do that bigger loan.
Stephen Moss: Right. Okay. That's helpful. And then in terms of, you touched on your 3-year anniversary here coming up in January. Kind of curious as to what potential flexibility we may see or we should expect after that 3-year anniversary, if any?
Barry R. Sloane: It's a good question, Steve. I think you'll see from a flexible standpoint, I think you'll see the business model, all the things that we talked about. But I think you'll see from my mouth to good, better execution on the deposit side, better execution on the AOP side in terms of more volume, but no change in the product mix, which is important. But I think you'll see a bank and a bank holding company that maybe you're more familiar with in analyzing the metrics than what you've seen to date. That's our goal to just be able to provide more information, better information. We're hopeful that we provided additional information in this deck that will give people a better insight in terms of what we're doing. We want to be as transparent as we possibly can.
Stephen Moss: There definitely was a lot of information in the deck. I'm still trying to digest it. Maybe put it this way, with the 3-year anniversary, you're 12.5% leverage right now. Would you go down to like a 9% or 10% type number in the next 2 or 3 years?
Barry R. Sloane: I think we do plan on using the balance sheet a little bit more and using more leverage. So, I appreciate the question. It's not going to be dramatic. But I think what's important, I think, A, to yourself, investors, regulators, they want to make sure that we have the capability, the management team, the systems, the software, the policy in place to be able to manage the business and manage the growth. We clearly had people that said to me, you can't grow this fast, you can't do what you're doing. Well, we're still here, and our plans are intact. As I've stated in many calls, we're on plan. We're on plan with NPLs, with capital, with, we're on plan. So, with our 3-year anniversary here, we're looking to continue to grow and hopefully get better recognition from the markets for what we've been able to do so far. So yes, I appreciate you focusing in on that time frame because it is important to us.
Operator: Our next question comes from the line of Hal Goetsch of B. Riley Securities.
Harold Goetsch: You mentioned on the call, and this is kind of a sector question that some SBA lenders are leaving the market. And I was wondering if you could give us a little color on that, why that is? And you have been taking share. So, I wanted to get your feel on the long-term outlook for SBA lenders, your ability to increase share? And the other question is just on the ALP side, the government shutdown isn't holding up the ALP program, right? So, correct me if I'm wrong, but then if it isn't, like can you give us a little color on originations through the first 3 quarters of the year or the third quarter and your outlook there, if you can because that isn't being impacted.
Barry R. Sloane: Sure. I appreciate it. So I mean this is public information. BayFirst, which was a top 20 lender pushed out of the market. I think their business went to an entity called Banesco. There were one of the SBA changes relating to limited underwriting score and go. I think they dropped the cut from like 500 to 350. So a lot of competitors entered the space after PPP that were basically technology providers. And they really didn't provide the fulsome lending that's required, in my opinion, in a regulated environment. So I mean that's the only name that I could openly talk about in the public market because it's out there. But we are familiar with several other lenders right now that basically have got to cut back. We hear this and see this from the interviewing process with people coming to us expressing reservations about what they're doing going forward. This does not affect the AOP business at all. And I think just from a volume standpoint for us, we might have a little bit of a degradation in the next quarter or 2 in 7(a) volume. But we believe we'll be able to deliver good numbers from a market multiple standpoints, and we'll be able to make it up. From an AOP perspective, we were targeting, I think, between $350 million to $400 million in AOP loans for this calendar year, and I believe that's what will hit. We hope to do materially more than that next year. I don't have a number on that, but if I had to come up with a number, I would say $500 million to $600 million, but I haven't really cleared that with my boss. Peter Downs the President and COO of the bank. He's the boss in that area.
Harold Goetsch: Okay. And if I could ask one follow-up. It seems like the loan, the LTVs on the LP loans are quite good, right? And what are the, refresh me on the collateral for those loans, if you could.
Barry R. Sloane: Yes. One of the things, how I will do is DBRS is the rating agency, and they put out a nice presale agreement. I'll make sure that we can get you a copy of those, so you can get a description of what the loans look like, how they're underwritten. Anybody that wants that, please let myself or Bryce Rowe. I'm sure DBRS will be happy to provide that. What goes into it is these are businesses that do have a business valuation, so we get a business appraisal. About 65% of our loans typically have commercial real estate liens behind them. If it's not a commercial real estate lien. We're looking at intellectual property. We're looking at machinery, equipment, inventory and most importantly, personal guarantees. So, every 20% equity owner or greater must personally guarantee it. So, in many cases, we're getting things like marketable securities, real estate assets, it could be residences, it could be investment in real estate property to all go into that LTV. The reason why these borrowers subscribe to these types of loans is because of the long amortization, you're basically giving them equity because they get to keep the principal for longer periods of time. And the flexibility in the covenants, which we think I'll take a personal guarantee and lean on personal assets over a covenant that you're dealing with 45 days in arrears after the fact.
Operator: Our next question comes from the line of Christopher Nolan of Ladenburg Thalmann & Company.
Christopher Nolan: Barry, what's the thoughts on increasing the dividend?
Barry R. Sloane: Good question, but always a tough one. We obviously have one of the best dividend-paying stocks in the market. As a shareholder, I'm a participant in that. I love the dividend. I would say, to be frank with you, we're not getting a tremendous amount of value for its dividend or the increase. I would say, and this is not my decision. It's the Board's decision, who has to declare it. I would say if there was a choice in A or B, and there's a choice C, which is do nothing, by the way. But if there was a choice A or B, we'd probably be more inclined to buy stock back to increase the dividend. But we also might wind up with C, which is do nothing. But I think to answer your question, I would just say it's possible, but unlikely that we'll increase the dividend in the near term.
Christopher Nolan: Got it. Great. And I guess the capital ratios look awfully healthy and kudos to you guys. Do you guys sort of get a nudge from regulators, whatever to pad your capital ratios a little bit just because of the unconventional business model?
Barry R. Sloane: I would have thought that would have been the case, but the answer is no. They typically don't tell you what to do. They tell you what you can't do. So no, nothing along those lines, although to be frank with you, that was a management decision that we made during, I guess, what I'll refer to as our maiden voyage currently. So we're comfortable with it. We wanted to demonstrate to the market, we're well capitalized. We've got generous allowance for credit losses, and we know how to run a bank. We, as a nonbanker that's CEO of a bank, so I guess I am a banker now, we brought in really experienced people across the board in every single area. And I think that's been good. And not everybody works out. I've been asked, are we going to have changes and all that stuff. And look, if I was to say, no, I'm not going to change anybody in my management team out, they lose their incentive to work hard and deliver the results. So we're going to continue to work on building this platform together, upgrading it. And I hand it all off to the management team of the company for delivering these results. They've done a terrific job. And we do plan on using the balance sheet more and utilizing more of the capital going forward.
Christopher Nolan: Final question. You guys sort of seem, I mean, you have an unusual business model. It's highly profitable and it works properly. The, but you guys see, while you're a technology bank, you sort of have one foot in technology, one foot in traditional banking. And when you start looking at models like LendingTree, which are much more focused on the user interface, mobile and everything else, less so on the back end, but you guys have the back end down. Is that the direction we you see the model evolving? Or what are your thoughts on, because it, does your stock price values help if you start becoming a FinTech, which actually has a bank behind it?
Barry R. Sloane: Yes. So I love the question, Chris. I thank you for it. First of all, I want to put the names aside for the moment. But I look at organizations that are trading at pretty substantial multiples like a LendingClub or Live Oak or SoFi. And SoFi is a little bit different. But some of these companies for the first several years, they flatlined. They didn't move until the market got comfortable with their model and what they were doing and developed a better understanding and then all of a sudden, it started jumping because some people don't feel the multiples match up or make any sense. But when you think of LendingClub, I mean they do, do small business lending, but it's not a huge number. Look at a company like Innova, which doesn't currently own a depository, it's trading at a multiple in the teens and you look at our multiple. So I think that there's not a lot different than they're doing what we're doing relative to the returns on equity, returns on assets. I just think this is a familiarity issue. But I will tell you that the people that I meet with who spend the time and put the work in, they like what we're doing. If you look at our shareholder base, according to NASDAQ, it's 52% of institutional. I'm pretty confident that number is more like 65% or 70%. So if you play around with the math, there's 10 million shares in the float and there's 2.5 million shares short. Something just doesn't make a lot of sense here. But that's for other people to figure out. I mean there are people that like the stock here, and there are people that I that don't like it because there's a big share short. We'll figure this out. But in the meantime, we're building a great business. We got 22,000 digital depository accounts, 10,000 lending customers, 20,000 employees that we do payroll for. We move money quickly, efficiently at lower cost. Someone's got to like what we're doing. And that's why at the beginning of my presentation, I said, please focus on the business. Do you like this business? You like the business; you should like the stock.
Operator: Our next question comes from the line of Ivan Jimenez of Greenholder.
Ivan Jimenez: My question relates, I just want to understand the math right. You have $1.2 trillion in assets. I correct?
Barry R. Sloane: At the bank. At the bank, it's $1.4 billion, I believe, at the holdco, it's $2.4 billion approximately.
Ivan Jimenez: And you start...
Barry R. Sloane: That's the market cap.
Ivan Jimenez: You started with $300 million. Am I correct?
Barry R. Sloane: National Bank was $180 million in total assets when we bought it approximately.
Ivan Jimenez: So in essence, your model has gone from a BDC that we used to have to raise money every quarter or whatever, whenever you needed money to basically a depository. So that's your primary source of funds now. Am I correct?
Barry R. Sloane: Yes, it is.
Ivan Jimenez: That's where, 78% of that is guaranteed deposits. So these are deposits of less than the FDIC rate. Am I correct? So you don't have this risk of pull out?
Barry R. Sloane: Yes. We have a deposit base, which I think is about $1.2 billion. We still do have other liabilities, but more and more of the liabilities are going to come from deposit gathering. We're going to look to grow the balance sheet and the earnings of the bank.
Ivan Jimenez: Okay. That was my question. I just want to make sure that I heard the numbers right.
Barry R. Sloane: Yes. No, the growth numbers are numbers that do not exist. And obviously, it's off a low basis, but these are numbers that don't exist in the banking business. I read research reports. People are growing their deposits and loans by like 1% or 2% or 3%. It's like, all this is fantastic. It's great growth, and I'm kind of scratching my head going. Hey, what about me?
Ivan Jimenez: That's correct. the numbers, I just want to make sure that I heard right because to me, those numbers were important for what I'm doing.
Operator: I'm showing no further questions at this time. I would now like to turn it back to Barry for closing remarks.
Barry R. Sloane: I want to thank everybody for attending. I really appreciate the work the analysts have done and the great questions, thoughtful, insightful, forward-thinking both for us and the industry. And Bryce and I are always available along with Frank and Scott to be helpful and answer any questions you might have. So thank you very much.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.